Executives: Robert J. Wells - The Sherwin-Williams Co. John G. Morikis - The Sherwin-Williams Co. Allen J. Mistysyn - The Sherwin-Williams Co. Sean P. Hennessy - The Sherwin-Williams Co.
Analysts: Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker) Jeffrey J. Zekauskas - JPMorgan Securities LLC Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker) Don Carson - Susquehanna Financial Group LLLP Arun Viswanathan - RBC Capital Markets LLC Vincent S. Andrews - Morgan Stanley & Co. LLC Duffy Fischer - Barclays Capital, Inc. Robert Andrew Koort - Goldman Sachs & Co. John Roberts - UBS Securities LLC Oliver Wintermantel - Evercore Group LLC Dmitry Silversteyn - Longbow Research LLC Kevin W. McCarthy - Vertical Research Partners, LLC. Michael Joseph Harrison - Seaport Global Securities LLC Scott Rednor - Zelman & Associates Ivan M. Marcuse - KeyBanc Capital Markets, Inc. Eric Bosshard - Cleveland Research Co. LLC Scott A. Mushkin - Wolfe Research LLC Nils-Bertil Wallin - CLSA Americas LLC Chris Silvio Perrella - Bloomberg LP (Research) David Wang - Morningstar, Inc. (Research) Charles Cerankosky - Northcoast Research Partners LLC
Operator: Good morning. Thank you for joining The Sherwin-Williams Company's Review of Third Quarter Results for 2016. With us on today's call are John Morikis, President and CEO; Sean Hennessy, CFO; Al Mistysyn, Senior Vice President and Corporate Controller; and Bob Wells, Senior Vice President, Corporate Communications. This conference call is being webcast simultaneously in listen-only mode by Issuer Direct via the Internet, at sherwin.com. An archived replay of this webcast will be available at sherwin.com, beginning approximately two hours after this conference call concludes and will be available until Monday, November 14, at 5:00 PM, Eastern Time. This conference call will include certain forward-looking statements as defined under U.S. Federal Securities Laws with respect to sales, earnings and other matters. Any forward-looking statement speaks only as of the day on which statement is made, and the company undertakes no obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. A full declaration regarding forward-looking statements is provided in the company's earnings release transmitted earlier this morning. After the company's prepared remarks, we will open the session to questions. I will now turn the call over to Bob Wells.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Jesse. Good morning, everyone, and thanks for joining us. In the interest of time, we've provided some balance sheet items and other selected financial information on our website, sherwin.com, under Investor Relations, October 25 Press Release. I'll begin by highlighting overall company performance for the third quarter 2016 compared to third quarter 2015, then comment on each reportable segment. Consolidated net sales increased $127.2 million or 4% to $3.28 billion, driven by higher paint sales volume in our Paint Stores Group and the impact of a change in revenue classification related to third-party service revenue and related costs. The change in revenue classification increased sales 2.3% in the quarter. Unfavorable currency translation decreased consolidated net sales by 0.8% in the quarter. Consolidated gross profit dollars increased $61.7 million or 3.9% in the quarter to $1.64 billion compared to $1.57 billion last year. Consolidated gross margin was 49.9% of sales flat compared to the third quarter last year. Selling, general and administrative expenses for the quarter increased $64.5 million or 6.5% to $1.06 billion. As a percent of sales, SG&A increased to 32.3% in the third quarter this year, up 80 basis points from last year. A portion of this increase was acquisition-related expenses. Interest expense increased $27.1 million compared to third quarter last year to $44.1 million. The vast majority of this increase was acquisition-related interest expense. Consolidated profit before taxes in the quarter decreased $15.1 million or down 2.7% to $535.6 million, due primarily to acquisition-related expenses. Unfavorable currency translation reduced profit before tax in the quarter by $4.6 million compared to third quarter last year. Consolidated net income increased $12.2 million or 3.3% to $386.7 million. Net income as a percent of sales was 11.8%, compared to 11.9% in the third quarter last year. Our effective tax rate in the third quarter was 27.8%. A comparable effective tax rate to 2015 would be 30.5%. For full year 2016, we expect our effective tax rate to be in the low 30%s, excluding the impact of the accounting change. Diluted net income per common share for the quarter increased 2.8% to $4.08 per share from $3.97 per share in 2015. The $4.08 includes $0.09 accretion from the change in accounting standard and $0.24 dilution from acquisition-related expenses. Unfavorable currency translation rate changes decreased earnings per share by $0.03 in the quarter. Looking at our results by operating segment. Sales for our Paint Stores Group in the third quarter 2016 increased $140.6 million or 6.7% to $2.23 billion from $2.09 billion last year. Comparable store sales, that is, sales by stores opened more than 12 calendar months, excluding the change in revenue classification, increased 2.1%. Paint Stores Group sales increase was due to higher architectural paint sales volume across most end market segments and the impact of the change in revenue classification. Price mix had a negligible impact on sales in the quarter and Protective & Marine Coatings sales were a significant drag on revenue growth. Regionally in the third quarter, our Canadian division led all divisions, followed by Southeastern division, Southwestern division, Midwest and Eastern division. Sales and volumes were positive in every division. Segment profit for the group increased $10.9 million, or 2.1% to $518.3 million in the quarter, as higher architectural paint and equipment sales volumes were partially offset by higher SG&A spending. Segment operating margin decreased 100 basis points to 23.3% of sales from 24.3% in the third quarter last year. For our Latin America Coatings Group, third quarter net sales, stated in U.S. dollars, was $156.6 million, up $618,000, due primarily to higher year-over-year selling prices that were partially offset by unfavorable foreign currency translation and volume declines. Currency translation rate changes decreased sales in U.S. dollars by $12.8 million or 8.2% in the quarter. Segment profit in the third quarter, stated in U.S. dollars, decreased $1.2 million or 54.6% to $1 million from $2.1 million in the same period last year. The negative impact from higher raw material costs and unfavorable currency translation was only partially offset by increased selling prices. Currency translation decreased segment profit $3.6 million in the quarter compared to the same period last year. As a percent of net sales, segment profit decreased to 60 basis points in the quarter compared to 1.4% in the third quarter 2015. For our Consumer Group, sales decreased $8.7 million or 2.1% to $412.9 million from $421.6 million last year, primarily due to unfavorable foreign currency translation and declining sales to certain retail accounts, commercial customers and in our European business. Unfavorable currency translation decreased net sales for the segment by $5 million or 1.2%. Segment profit for the Consumer Group increased $3.8 million or 4.3% to $92 million from $88.3 million last year, due to improved operating efficiencies and good SG&A expense control. Segment profit as a percent of external sales increased to 22.3% from 20.9% in the same period last year. For our Global Finishes Group, sales in U.S. dollars decreased $5.4 million or 1.1% to $480.7 million in the quarter, as unfavorable currency translation was partially offset by positive price mix. Unfavorable currency translation decreased net sales for the segment by $7.1 million or 1.5% in the quarter. Segment profit in U.S. dollars increased $8 million or 14.6% in the quarter to $63.2 million from $55.1 million last year, due primarily to good SG&A expense control. Unfavorable currency translation decreased segment profit $0.5 million in the quarter. As a percent to net external sales, Global Finishes Group segment profit increased to 13.1% from 11.3% in the quarter compared to last year. That concludes my recap of our results for the quarter. So, I will turn the call over to John Morikis, who will make some general comments and highlight our expectations for fourth quarter and full year. John?
John G. Morikis - The Sherwin-Williams Co.: Thank you, Bob. Good morning, everyone, and thanks for joining us. Our results for the third quarter include a number of unusual items that affect our revenues, expenses and tax rate. If you back out the impact of these items, our results on a comparable year-over-year basis showed modest improvement. Consolidated sales increased 1.7% to $3.2 billion. Consolidated gross margin was 50.9%, an increase of 100 basis points compared to the third quarter last year. Operating profit improved 1.9% to $591.8 million. Profit before tax grew 3.9% to $572.4 million, a 30 basis point increase as a percent of sales. Net income increased 6.2% to $397.9 million and earnings per share increased 6.5% to $4.23 per share. These results are consistent with the GAAP guidance ranges we provided for both revenue and earnings, but they fell short of what we envisioned at the start of the quarter. Revenue growth at the lower end of our low single-digit to mid-single-digit range was disappointing. And the ongoing investments we are making in new stores, sales territories, retail merchandising, advertising, training and store service weighed heavily on earnings, particularly in light of the slow revenue growth. Our sales trend by quarter so far this year is similar to last year with growth decelerating each quarter as we go through the year. At this point, it is unclear whether the mid-year slowdown in sales over the past two years is a result of labor constraints in the construction trades or an indication that the housing cycle is slowing, which is contrary to what most of the data would suggest, or something else entirely. Whatever the reason for the slowdown, our response is the same. We will continue to make prudent investments in the things that drive our long-term growth and profitability. Architectural paint sales through our Paint Stores Group once again significantly outpaced revenue growth for the segment as a whole. High single-digit growth in the new residential and residential repaint contractor business was partially offset by a modest, but unexpected year-over-year decline in DIY sales. Sales to commercial and healthcare customers also generated solid year-over-year growth, while the Property Management segment showed modest gains. The outlook for continued growth in residential markets over the balance of the year and into 2017 remains positive, supported by very healthy order book trends, reported by most of our contractor customers. On the other hand, the revenue headwind from our Protective & Marine business in Paint Stores worsened sequentially in the third quarter. During the first nine months of the year, Paint Stores Group opened 69 new stores and closed 14 redundant locations, completing our consolidation of redundant store locations acquired from Comex. Our plan for the year still calls for the store openings in a range of 90 to 100 net new locations. To-date, our store count in the U.S., Canada and the Caribbean stands at 4,141 compared to 4,048 a year ago. Finally, the upward inflection in input costs and operating expenses that we've seen in the recent months, including raw materials, wages and benefits, rent expense and more, warrant a price increase by our Paint Stores Group. Effective December 1, 2016, our Paint Stores Group will be implementing a price increase in the 4% to 5% range across most product lines. We also anticipated a stronger sales performance from our Consumer Group coming into the third quarter. We saw widespread weakness across our commercial, industrial and MRO customers. Our Ronseal brand business in Europe also had a soft quarter. Despite the weaker than expected sales results, the Consumer Group continued to show good progress on margins in the quarter. Our Global Finishes Group did a commendable job of managing both gross margin and SG&A in the quarter, resulting in a 180 basis point operating margin improvement on modest sales declines. We continue to see positive demand momentum in some of our industrial coatings businesses, primarily in Europe and in Asia. Finally, our Latin America Coatings Group reported positive revenue growth in the quarter for the first time in 12 quarters. Despite this improvement in revenue and volume momentum, margin pressure from raw materials and higher SG&A spending continue to challenge our profitability throughout the region. Third quarter was a strong quarter for cash generation. Net operating cash in the first nine months was $966.5 million, up about $64 million over last year, with third quarter accounting for about $456 million of the total. We're on pace again this year to generate net operating cash at a rate above 10% of net sales. We were at 10.7% year-to-date, despite higher working capital. Nine-month working capital ticked up slightly to 11.5% of sales from 11.1% last year. Free cash flow, which is net operating cash less CapEx and dividends was $560 million compared to $557 million last year. Our capital expenditures year-to-date totaled $173.1 million. Depreciation was $128.3 million and amortization was $20.2 million. In 2016, we anticipate capital expenditures of approximately $240 million, depreciation of $170 million to $180 million and amortization of about $30 million. Capital spending will run higher than normal in 2016 as we complete some facility renovations projects. During the quarter, we made no open market purchases of our common stock for Treasury. On September 30, we had remaining board authorization to acquire 11.65 million shares. As indicated when we announced the Valspar acquisition, we intend to build cash on our balance sheet over the course of the year to reduce total borrowings required to close the deal, which will eliminate our share repurchase activity in 2016. As a result, our cash balance at the close of the third quarter 2016 was $702.6 million compared to $91 million on September 30, 2015. Last week, our board of directors approved a quarterly dividend of $0.84 per share, up 25% from $0.67 last year. The outlook for Paint Stores Group over the balance of the year remains positive, and we expect to see steady improvement from Consumer Group and Global Finishes Group. These positives will be offset to some degree by continued weakness in Latin America. Over the balance of the year, the input cost tailwinds are likely to turn to headwinds and the slower pace of sales growth is unlikely to fully offset our investment in new stores, territories and retail programs already in place. For the quarter, we anticipate our core consolidated net sales will increase a low single-digit percentage compared to last year's fourth quarter. At this anticipated sales level, we estimate diluted net income per common share in the fourth quarter to be in the range of $1.45 to $1.55 per share. Fourth quarter 2016 earnings per share include costs related to the anticipated acquisition of Valspar totaling $0.71 per share and an increase in EPS of approximately $0.03 per share related to the decrease in the income tax provision. Excluding these items, fourth quarter EPS will be in the range of $2.13 to $2.23 per share compared to $2.12 per share earned in the fourth quarter of 2015. For the full year 2016, we expect core consolidated net sales to increase by a low single-digit percentage compared to full year 2015. With annual sales at that level, we are updating our guidance for full year 2016 diluted net income per common share to be in the range of $11.30 to $11.40 per share. Full year 2016 earnings per share includes costs related to the anticipated acquisition of Valspar, totaling approximately $1.35 per share, and an increase in EPS of approximately $0.40 per share related to the decrease in the income tax provision. Excluding these items, full year EPS will be in the range of $12.25 to $12.35 per share, a 10% increase at the midpoint of the range over the $11.16 per share earned in 2015. Before we open the call for questions, I'd like to comment briefly on the other press release we issued this morning. Last week, our board of directors elected Al Mistysyn to serve as our next Chief Financial Officer, a position held for the past 15 years by Sean Hennessy. This change will take effect January 1, 2017. I'd like to close my comments with a few words about my great friend, Sean Hennessy. My relationship with Sean spans our 30 years together at Sherwin-Williams. He has always been an excellent advisor, contributor, and importantly, friend. We've traveled around the world together on many occasions and Sean has regularly impressed me in so many ways. So, it's no surprise that Sean has once again impressed me with his selfless decision to do what he believes to be right for his family. Sean's decision to step down from the day-to-day responsibilities of CFO in order to provide more time and flexibility to address family priorities is yet another example of the quality individual we've all grown to respect. We appreciate his willingness to stay on as Head of M&A activities, to provide support for the Valspar integration planning process, and to ensure a smooth transition of CFO responsibilities. This past year, I've spent more time with Sean than any other executive on my team, travelling with many of you, to immerse myself in this important aspect of my job, and to gain as much information as I could from Sean, knowing this time was coming. Well, it's never a good time for a high performing executive like Sean to leave such an important role. The timing of his decision sets us up well for the year ahead. Now, Mistysyn's promotion to CFO is the natural conclusion of a long, careful and thoughtful development plan to prepare him for this position. Al has been Sean's right hand man, and the architect of many of our financial programs and successes. Al is my choice for this important position. He is a proven seasoned executive and I'm truly excited to have him on my side as we move forward. We've assembled a full Valspar integration team that has been hard at it for several months now, with Al actively involved on a daily basis. We're also in the process of building our operating plans and budgets for next year, with each of our segment teams and having Al on my side for these important meetings is crucial to his fast start. With that, I'd like to thank you for joining us this morning. And now, we'll be happy to take your questions.
Operator: Thank you. At this time, we will be conducting the question-and-answer session. Our first question is coming from the line of Christopher Parkinson with Credit Suisse. Please proceed with your question.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you very much. Can you guys just add a little more color on the key trends throughout the quarter both from an end market perspective and geographic perspective. And how that rolled through Europe, PSG, same-store sales comp. And then also, if you could comment just very quickly on any margin differential pertaining to the reclassification of revenues? Thank you.
John G. Morikis - The Sherwin-Williams Co.: Yes. So initially, I would maybe add sort of this way. We did see high single-digit growth in our new residential and our residential repaint business. We saw a solid year-over-year increases in our commercial and our healthcare businesses, and modest gains in our Property Management. As I mentioned, just a moment ago, we did see a modest decline in DIY, and our P&M worsened sequentially. So, our outlook obviously remains very positive. We see the fundamentals of the business are very solid, and have great confidence in the investments that we're making that we're going to continue to be able to grow market share. We talked – actually Bob just covered geographically about the growth with Canada leading the market, and talked about the different geographies. So, I think we captured that in the comments just a moment ago.
Robert J. Wells - The Sherwin-Williams Co.: Yes, Chris. And importantly – this is Bob. Importantly, we mentioned that the Eastern division was down the most and it's likely that that was at least some weather impact, because they had inclement weather in the quarter.
Allen J. Mistysyn - The Sherwin-Williams Co.: Hey, Chris, this is Al Mistysyn. I'm going to talk about the revenue reclass. And I'll just talk about it broadly, and then talk about the impact on the operating margin. But, we use third-party contractors to complete a variety of things for our customers. Previously, these immaterial amounts were netted and then included in the SG&A. We determine these buildings to customers should be grossed up as sales with a payments contract as included in cost to goods sold for a net immaterial impact on gross profit while reducing gross margin and operating margin. So, no impact on the consolidated dollars, but excluding that revenue reclass and the impact of the acquisitions, our operating margins would have been up slightly.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Perfect. Thank you. And then just very quickly, within the big boxes, can you just comment on any key trends you saw during the quarter between DIY and DIFM? And whether or not are there any major puts or takes based on your new products specifically INFINITY? Thank you.
John G. Morikis - The Sherwin-Williams Co.: Well, we prefer to let our customers talk about the trends within those areas. We do work very hard to work with them, to support them, and we're proud of that INFINITY product. We think it provides a terrific technology for an important customer of ours, but we'd prefer to let them comment about their specific results.
Christopher S. Parkinson - Credit Suisse Securities (USA) LLC (Broker): Fair enough. Thank you.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Chris.
Operator: Thank you. The next question is coming from the line of Jeff Zekauskas with JPMorgan. Please proceed with your question.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Thanks very much. You suggested that you're going to increase your paint prices here in the stores as of January 1, 2017. Is that the limit of your price increases or are there other areas where you plan to nominate increases for 2017?
John G. Morikis - The Sherwin-Williams Co.: We made it a practice, Jeff, to talk about our stores pricing. We prefer not to talk about pricing outside of the stores organization.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay.
Sean P. Hennessy - The Sherwin-Williams Co.: And, Jeff, this is Sean, I just want to – you mentioned January first, so I just wanted to put on your radar, it's going to be effective December 1.
John G. Morikis - The Sherwin-Williams Co.: That's right.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: All right. I'm sorry about that. Okay. Is there also a revenue readjustment to come in the fourth quarter from your accounting change or is it taken care of in the third quarter?
Allen J. Mistysyn - The Sherwin-Williams Co.: Yes, Jeff, this is Al. We did the adjustment because it's immaterial on a perspective basis, so the third quarter only has a third quarter adjustment, the fourth quarter will have an adjustment and then we will make a first quarter and second quarter of 2017, so the full year 2017 won't have any impact.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: All right. Okay. Thank you so much. And the fourth quarter adjustment is something of the same magnitude as the third quarter or it's different?
Allen J. Mistysyn - The Sherwin-Williams Co.: It will be similar.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: And in general, the revenues are offset by increased cost of goods sold.
Allen J. Mistysyn - The Sherwin-Williams Co.: Yes.
Jeffrey J. Zekauskas - JPMorgan Securities LLC: Okay. Good. Thank you.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Jeff.
Operator: Thank you. Our next question is coming from the line of Ghansham Panjabi with Robert W. Baird. Please proceed with your question.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Hey, guys. Good morning. Sean and Al, congrats, and, Sean, you'll obviously be missed by all of us.
Sean P. Hennessy - The Sherwin-Williams Co.: Hey. Thank you. I appreciate that.
Allen J. Mistysyn - The Sherwin-Williams Co.: Thank you.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): So I guess going back to same-store sales for PSG, just kind of being erratic over the past few quarters, you're obviously bullish on the outlook. I guess, John, what are customers, in particular, sharing with you in terms of why growth has been so choppy quarter-by-quarter?
John G. Morikis - The Sherwin-Williams Co.: Your point is a good one. The confidence that we have, we believe is built on the fundamentals of the market and we continue to believe that investing in this business is going to be a key part of our success, but the contractors that we've spoken to continue to believe that there are plenty of opportunities ahead. I mentioned the residential business that we saw growing, nearly double-digit increase in residential repaint over 9%. And speaking to these customers about the constraints that they feel as a result of the labor has had an impact on their business. So, we're confident in this model that we have. We're continuing to invest in it. We believe that the investment in our stores, reps and products are going to continue to allow us to continue drive that operating margin. We're going to have a good operating margin improvement this year. We expect to have a good operating margin improvement next year, and we think that the fundamentals of the market support the contractor base that we're focused on.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Okay. And then just...
Robert J. Wells - The Sherwin-Williams Co.: Ghansham, this is Bob. Let me fill in that based on our volumes by quarter, it appears to us that the third quarter is the busiest quarter for contractors. So, if there is labor constraints in the market, it would most likely show up in the third quarter, or it would show up more in the third quarter than even in the second quarter.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Okay. And then, for just sticking with PSG and same-store sales, if you stripped out Protective & Marine, can you give us a sense as to what their same-store sales would have looked like? And then, on P&M, are we, John, sort of, at least in your perspective, close to realistic bottom for this business? Thanks so much.
John G. Morikis - The Sherwin-Williams Co.: Yes. I'll take the first piece on the bottom of the P&M. We do feel as though that we're nearing bottom. This has been a tough road here with the oil and gas predominantly under a lot of pressure. We have, as I mentioned in previous calls, worked to pivot our efforts into accelerating in other segments where we've been focused on for many years, but we expect to be able to accelerate our sales in those areas. The fact is that the oil and gas is a big part of our business. It's been an area that we've been focused on for many years, and we've had significant success, and it's had an impact on our business as it's slowing down. But, we're continuing to growing in areas within oil and gas, as well as some of these other areas within Protective & Marine.
Sean P. Hennessy - The Sherwin-Williams Co.: Yes. And if you look at the comp stores, I don't have it exactly, but it would be in the mid-single digits.
Ghansham Panjabi - Robert W. Baird & Co., Inc. (Broker): Got it. Thanks for confirming.
John G. Morikis - The Sherwin-Williams Co.: Great.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Ghansham.
Operator: Thank you. Our next question is coming from the line of Don Carson with Susquehanna Financial. Please proceed with your question.
Don Carson - Susquehanna Financial Group LLLP: Yes. Bob, a question on the overall market. I mean, we've seen lower growth from other companies who've reported in the architectural space as well. So, just wondering, snapback that we are all expecting this year, because it – you know, easy weather comps from last year. Did that not materialize or whether there's some volumes that were brought forward in a very strong first quarter you had? Just wondering what comments you'd have on the overall market growth?
Robert J. Wells - The Sherwin-Williams Co.: Yes, Don, in John's prepared remarks, he talked about the sales trend or the sales trajectory by a quarter being similar this year to last year. And we think that's a reflection of the market overall. We're seeing that, that year-over-year growth tends to slow as we go from even second quarter to third quarter sequentially. And we're not sure if that's the function of market capacity or it doesn't feel to us like it's a change in demand trend. Our customers are still reporting very strong order book volume, and so it doesn't feel like third quarter jobs were pulled forward into first quarter and second quarter. It just feels like we're seeing some constraints in the rate at which contractors can get on those jobs.
John G. Morikis - The Sherwin-Williams Co.: Yes. The overall tone from our customers remains very positive on the architectural side.
Don Carson - Susquehanna Financial Group LLLP: And then a follow-up on your guidance reduction. Is that driven primarily by volumes or how much of a role did raw materials play, you know, are raw materials now going to go – be up more than you expected for the industry in 2016 and what's your outlook for 2017?
Sean P. Hennessy - The Sherwin-Williams Co.: I'll take the fourth quarter. I think it was driven by the volume side. I don't think that the raws are materially different than what we took a look at.
Robert J. Wells - The Sherwin-Williams Co.: Yeah. On raw materials side, Don, we think it's likely that the raw materials will swing from a low single-digit tailwind in the third quarter to a low single-digit headwind in the fourth quarter, but we've kind of being guiding to that all along. We've said that the benefit from raw materials will diminish as we go through the year. The headwind, if there is one in the fourth quarter will be primarily driven by modest inflation in TiO2. The TiO2 producers got some traction on both their second quarter and third quarter price increases during the year – or during the second quarters and third quarters. So, we haven't put together an outlook for 2017 yet, but fourth quarter 2016, it's going to be flat to – raw materials are going to be flat to up low single digits.
Don Carson - Susquehanna Financial Group LLLP: Thank you.
Operator: Thank you. Our next question is coming from the line of Arun Viswanathan with RBC Capital Markets. Please proceed with your question.
Arun Viswanathan - RBC Capital Markets LLC: Good morning. Thank you.
John G. Morikis - The Sherwin-Williams Co.: Good morning, Arun.
Arun Viswanathan - RBC Capital Markets LLC: Congrats, Sean.
Sean P. Hennessy - The Sherwin-Williams Co.: Thank you.
Arun Viswanathan - RBC Capital Markets LLC: Just I guess I wanted to follow up on the growth question. Over the last several years, we've seen Paint Stores Group kind of grow 1.5 times to 2 times the market. This quarter, it looks like the 2% growth is kind of in line with the market. Is that a fair assessment and is there anything that changed that led to this kind of performance? And then also in Consumer, it looks like the 2% decline is kind of bit below, and you just discussed that a modest decline in DIY, maybe you can just help us understand what drove that?
John G. Morikis - The Sherwin-Williams Co.: Yes. I think it's a bit early to tell if there's the issue with market, I don't think we have enough data right now to know how our growth in the market compared to our competitors. Our third quarter last year showed the same sequential softness, as Bob mentioned before rebounding in the fourth quarter and the first quarter. And as I mentioned, we believe that the growth that we saw in the architectural side in residential repaint and new residential, a very high strong performance, the solid year in commercial and healthcare that I mentioned as well as the modest gains in Property Management, we still feel as that we're growing share, and most importantly I would say would be the fundamentals, the position that we have in the marketplace with the contractor continuing to outpace the market and our positioning there and our continued investment there is what gives us the most confidence. These stores that we're adding, the reps that we're adding, the new products that we're adding as well as our core locations we believe will allow us to continue to grow our share.
Sean P. Hennessy - The Sherwin-Williams Co.: When you ask about the Consumer Group, again our Consumer Group this quarter was negatively affected by the European businesses as well as some of the commercial, industrial and MRO that are also embedded in there. So if you look at the North American architectural business, we were pleased with those results.
John G. Morikis - The Sherwin-Williams Co.: And if you back out the European business, our North American business was positive.
Arun Viswanathan - RBC Capital Markets LLC: Okay. That's helpful. And then, just as a quick follow-up on the price in raw materials side, usually you take pricing I guess in the beginning of the year. Is there a reason that you kind of pulled that forward, you discussed the low single-digit headwind. But presumably, if you're announcing it December 1, you won't see that in Q4. So, is it safe to assume that that'll start flowing through in Q1 or what's the cadence on realizing that pricing?
John G. Morikis - The Sherwin-Williams Co.: Well, I think it speaks to what we've spoken about frequently which is, when we know, we typically go. And the fact is that, the last price increase as you know that we took was in the first quarter of 2014. Many of our operating expense categories have risen since then, our wage and benefits, our store rent and presumably, as Bob just mentioned, we're going to see some raw material increases. And so, we knew it was time for a price increase and we decided to go ahead and move on it.
Arun Viswanathan - RBC Capital Markets LLC: Great. Thank you.
Operator: Thank you. The next question is coming from the line of Vincent Andrews with Morgan Stanley. Please proceed with your question.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Thanks, and good afternoon and good morning. Within Paint Stores Group, obviously, the results were below your expectations. And you outlined the different sub-segments of it. But it wasn't clear to me, which one of those came in below your expectations. You talked about high single-digit residential; doesn't seem like it would be that. So, was it DIY, was it the healthcare or Protective & Marine, what went wrong?
John G. Morikis - The Sherwin-Williams Co.: Well, I think obviously our DIY with a modest decline was clearly below our expectation. For Protective & Marine, we still have high expectations for this team. We recognize that a big percentage of the business is growing in this oil and gas. But we are focused on a number of these other segments. And we have been involved in these other areas and our expectations for all our teams are to continue to improve. So, I'd tell you that even our residential repaint up in nearly double digits, our expectations are that we want to grow faster. So, clearly some of those underperformed to a little greater degree in the DIY and P&M, Protective & Marine that I mentioned, but it's safe to say that our expectations are we want to grow faster in every one of those segments.
Vincent S. Andrews - Morgan Stanley & Co. LLC: Okay. And then, just a follow-up, internally, as you guys assess the weather impact on any given quarter, do you have any particular means by which you do that? I mean I think about a hurricane going up the Gulf Coast – sorry, up the East Coast in September. Then we had another one in October for the fourth quarter. So, how do you guys think about assessing the impact of lost painting days or even 4th of July moved a day during this quarter from a Saturday to a Monday? So what is the impact of that type of stuff and is it worth speaking about in advance to the extent that we know about it?
John G. Morikis - The Sherwin-Williams Co.: We don't like to talk about it, to be truthful with you. I mean our discussion internally as you mentioned is that we've got shareholders with high expectations, and we've got to find a way over the hill. And yes, we had to close stores in areas that were affected, but we're not leaning on that. We have a determined effort on this side of the call to continue to drive and improve. And quite frankly, it's something that we don't want to point to. We know it was there...
Vincent S. Andrews - Morgan Stanley & Co. LLC: Yes.
John G. Morikis - The Sherwin-Williams Co.: ...but we have high expectations of ourselves.
Vincent S. Andrews - Morgan Stanley & Co. LLC: I appreciate that. I'm not looking for excuses. I just want the explanation and it might be helpful going forward just to understand the change in results, particularly as they get more lumpy. But I'll pass it along. Thanks very much.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Vincent.
Operator: Thank you. The next question is coming from the line of Duffy Fischer with Barclays. Please proceed with your question.
Duffy Fischer - Barclays Capital, Inc.: Yes, good morning, fellows.
Robert J. Wells - The Sherwin-Williams Co.: Good morning, Duffy.
John G. Morikis - The Sherwin-Williams Co.: Good morning, Duffy.
Duffy Fischer - Barclays Capital, Inc.: Question just as you think through the incremental margins, sales were down in both Consumer Group and Global Finishes, but yet income was up. So what was happening there that you were able to drive better income results than revenue results?
Sean P. Hennessy - The Sherwin-Williams Co.: Duffy, this is Sean. I think it really goes back to just the lumpiness, the question that we asked earlier I think, as John said, when you look at the year-to-date, I think that just the way different sales and SG&A comes in, in these different areas. So, I think when you take a look at the full year in Global Finishes back in 2014, the operating margin was 9.7%, last year it was 10.5%, this year through the first nine months it's 12.3%. So, we look at it more that way.
John G. Morikis - The Sherwin-Williams Co.: Yes. And I'd add this to it, Duffy, that organization, that team is doing a terrific job as well I think, at looking at opportunities, back office expenses where we can take some synergies through the organization. They've also got a strong focus on customers and positive mix of products. So, we knew that this was going to be a challenging year for them, and they went into it with the right frame of mind that we had to show improvement, and we had to pull a number of different levers to be able to get there. And they're working hard to do just that.
Allen J. Mistysyn - The Sherwin-Williams Co.: And then on Consumer Group, a similar trend. If you look at 2014 operating margin at 17.8%, going to 19.6% last year and up 40 basis points year-to-date, they're doing a nice job of controlling SG&A and getting operating efficiencies with the volumes that we're generating through Paint Stores Group.
Duffy Fischer - Barclays Capital, Inc.: Okay. And then on oil and gas, when was the peak of your oil and gas sales, and what's the magnitude of the headwind do you face revenue-wise since that peak?
John G. Morikis - The Sherwin-Williams Co.: I don't know of the exact timing of the...
Sean P. Hennessy - The Sherwin-Williams Co.: I think it very externally (43:27) correlates to the price of oil. I think...
John G. Morikis - The Sherwin-Williams Co.: Yes. I was just going to say it.
Sean P. Hennessy - The Sherwin-Williams Co.: Yes. I don't know the exact date, but I think as the price of oil came down, the CapEx spending began to decrease and I think – and that's why we're in the situation we are.
John G. Morikis - The Sherwin-Williams Co.: Yes. So, obviously impacted by the CapEx spending that Sean talked about and as we mentioned the opportunity to pivot into some of these other areas. Infrastructures is an area that the team is focused on as well as some of the other segments within our focus there. So, plenty of opportunity here; some heavy lifting to do.
Duffy Fischer - Barclays Capital, Inc.: Great. Thanks, fellows.
Robert J. Wells - The Sherwin-Williams Co.: Thank you, Duffy.
Operator: Thank you. The next question is coming from the line of Bob Koort with Goldman Sachs. Please proceed with your question.
Robert Andrew Koort - Goldman Sachs & Co.: Thanks. Good morning.
John G. Morikis - The Sherwin-Williams Co.: Good morning, Bob.
Robert Andrew Koort - Goldman Sachs & Co.: John, I was wondering if you could talk about, are there prior precedence where you've taken up price in the stores that there has been pressure in the DIY channel and I guess I ask that in the context of your major DIY competitor talked about increased promotions and rebates and those sorts of things. So it looks like maybe there is some pressure on price through DIY. So, what's your thoughts about historically being able to push through the stores prices if the broader DIY market might be under some pressure?
John G. Morikis - The Sherwin-Williams Co.: Bob, I've been in this industry now, coming up on 32 years and every day of my experience has been competitive. We work hard in what we do to add value to our customers. And as I mentioned, a piece of this, we expect will be raw materials, the other components that we have invested in to be able to supply our customers with a greater value are key drivers for our ability to put a price increase in, and we don't take that lightly. To your point, we know it's competitive. We've got to be able to demonstrate a value to our customers. And so, the combination of our products and our services have to make our customers more money of what they do or we don't deserve the business. And we understand how competitive it is out there. And so, we're investing in the right things to better position ourselves to better help our customers.
Robert Andrew Koort - Goldman Sachs & Co.: Got it. Makes sense. And then let me ask if I could on the – Bob Wells, I think you talked about low single-digit raws' inflation. John, you mentioned 4% to 5% seeking price in your stores business. How should we think about the gross margin path into 2017?
Sean P. Hennessy - The Sherwin-Williams Co.: I think that 2017, when you look at it, we're very focused on operating margins, as you know, you've been with us for many, many years. And I think over the last three years-plus, the gross margin has been driving those margins. I think that we all know that the gross margin is not going to be as robust when it comes to year-over-year. I think that we're going to continue to do things for efficiencies in the plants and warehouse. The price increase to make sure that the gross margin is somewhat positive as I read it, but it's not going to be the driver it's been for the last three years, but that operating margin is going to be also helped by the work that we're going to do in the SG&A.
John G. Morikis - The Sherwin-Williams Co.: Yes. Every year, is different as you know, Bob, and we set out with a plan on January 1, and by January 2 it changes depending on what's happening in the market. And the one thing that will be true to Sean's point is our focus on this operating margin improvement. And so, the efforts that we'll be taking will get us there. We'll figure out a way to do that. It may, as Sean mentioned, not be the margins in the past, it may be greater leverage on the SG&A while driving sales. But our commitment is the improvement in operating margins going forward.
Robert Andrew Koort - Goldman Sachs & Co.: Got it. Thanks for the help.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Bob.
Operator: Thank you. Our next question is coming from the line of John Roberts with UBS. Please proceed with your question.
John Roberts - UBS Securities LLC: Thanks. Sean, you've been a great CFO, but I still don't think your stock would take it this hard that you're going to be phasing back.
Sean P. Hennessy - The Sherwin-Williams Co.: Yes. I know what you mean.
John Roberts - UBS Securities LLC: Wishes going forward. You're going to open up about 40 stores in the fourth quarter here, which I think you've done before, you're usually backend loaded, but could you talk a little bit about the labor market for staffing 40 stores in a quarter and lease rates and things like that? I'd assume store openings are costing you more now than they probably ever have?
John G. Morikis - The Sherwin-Williams Co.: I don't know if they are costing us more than we ever had, and in our ability to recruit on campus has been terrific. We hire as you know, John, having travelled with us, between 1,200 and 1,400 management trainees a year. The performance of our company and the brand has allowed us to recruit the highest caliber trainees and you know, I'd say that that just continues, the more time I spend with our trainee class, the more I'm impressed with our ability to recruit such high caliber people. So, we've got confidence there. We've been able to negotiate good rents and leases with our track record. And we're becoming more and more choice in these markets, because of our ability to ensure the financial strength of the company, and what we bring to the market. So, we're actually in a very good place right now and our focus continues to be on accelerating the performance of those new stores.
John Roberts - UBS Securities LLC: And then secondarily, do you think the down DIY volume has anything to do with the channel positioning in advance of the Valspar closing?
John G. Morikis - The Sherwin-Williams Co.: No, I don't think so. I think that we'll see what happens in the market on DIY specifically, but I don't think that it has an impact on it at all.
John Roberts - UBS Securities LLC: Okay. Thank you.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, John.
Operator: Thank you. Our next question is coming from the line of Oli Wintermantel with Evercore ISI. Please proceed with your question.
Oliver Wintermantel - Evercore Group LLC: Yes. Good morning, guys.
John G. Morikis - The Sherwin-Williams Co.: Good morning, Oli.
Oliver Wintermantel - Evercore Group LLC: Regarding the comps throughout the quarter, did we see a very similar progression throughout the quarter that we saw through the year or so, beginning if the quarter was stronger and then tailing off?
John G. Morikis - The Sherwin-Williams Co.: I don't understand.
Allen J. Mistysyn - The Sherwin-Williams Co.: No, I think we were pretty consistent on the cadence of sales throughout the quarter.
Oliver Wintermantel - Evercore Group LLC: Okay. Got it. And then, just you mentioned that on the total sales, there was a 2.3% help on the revenue reclassification. Was there a similar impact on the comps in PSG?
Allen J. Mistysyn - The Sherwin-Williams Co.: No, the comps in PSG were not impacted by the change in revenue reclass.
Oliver Wintermantel - Evercore Group LLC: Got it. And then lastly, just the reduction in the full year guidance, you left the sales guidance up low single digits, basically unchanged. So is that more of a function of gross margins or SG&A?
Sean P. Hennessy - The Sherwin-Williams Co.: I think, it comes back to I think the – it probably had more to do with the sales volumes in the third quarter than anything else.
Oliver Wintermantel - Evercore Group LLC: Got it. Thanks very much.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Oli.
Operator: Thank you. Our next question is coming from the line of Dmitry Silversteyn with Longbow Research. Please proceed with your question.
Dmitry Silversteyn - Longbow Research LLC: Good morning, guys. Thanks for taking my call. Couple of questions, first of all just wanted to follow up on the Paint Store comp, so you had 2.1% same-store growth and you had 2.3% from the reclassification of revenue, which still leaves about 2.5% or 2.3% sort of unaccounted for. Is that the price mix benefit or how should I think about classifying that especially since you've talked about a little bit of an FX headwind?
Allen J. Mistysyn - The Sherwin-Williams Co.: You also have to factor in the new stores in that delta and then the rest of the price mix.
Dmitry Silversteyn - Longbow Research LLC: Price mix, okay. Fair enough. If you look at – you mentioned a couple of times that higher SG&A expense in the Stores Group in Latin America grew. Was that around just store openings or was – I mean or promotional activity or are you staffing external sales people more, can you talk about sort of what's driving the higher SG&A and why we should not look for that to continue into 2017?
Allen J. Mistysyn - The Sherwin-Williams Co.: The majority of the SG&A increase was related to the new store and reps. I think the teams are doing a nice job of controlling the other SG&A around the fringes, based on the sequential slowdown in sales.
Dmitry Silversteyn - Longbow Research LLC: Okay. But I mean your store growth this year is not that different from what it was last year and yet you called out SG&A expense. So, that's why I'm asking I guess.
Allen J. Mistysyn - The Sherwin-Williams Co.: We also had, if you recall in the second quarter, we talked about the investments we were making in the Consumer Group and some of those have continued through. So, between the new stores and the continued investments in Consumer Group, that's what's driving the increase in SG&A.
Dmitry Silversteyn - Longbow Research LLC: Okay. All right. And then just a quick question on tax rate, you talked about it being in the low 30%s for 2016. If you kind of look at Sherwin in isolation, and forget about the Valspar piece that's being added and what that can do to your tax rate, if you just look at Sherwin, is kind of the low 30%s tax rate is what we should be thinking about or the changes in taxes that you made, that were excluding from this year's earnings, how should we think about tax rate going into 2017 and Sherwin-Williams as a standalone entity without thinking about Valspar yet?
Allen J. Mistysyn - The Sherwin-Williams Co.: Yes, I think the core tax rate's excluding that, accounting adjustment, it will be in the low 30%s. If you look at our year-to-date effective tax rate, it's 31.7% versus 31.6% last year.
Dmitry Silversteyn - Longbow Research LLC: Okay. So basically, just continuation of the tax rate that we've seen?
Allen J. Mistysyn - The Sherwin-Williams Co.: Yes.
Dmitry Silversteyn - Longbow Research LLC: Okay. All right, thank you very much.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Dmitry.
Operator: Thank you. Our next question is coming from the line of Kevin McCarthy with Vertical Research Partners. Please proceed with your question?
Kevin W. McCarthy - Vertical Research Partners, LLC.: Yes, good morning. I recognize Europe is not an enormous region for you, but to the extent that you are exposed there, I was wondering if you could comment on trends that you're seeing by product line and also on an individual country basis if you're seeing anything material there. It sounds like it hit Consumer a bit. And I'm wondering you know if you think that it's macro or broad based in nature or more idiosyncratic. Thanks.
Sean P. Hennessy - The Sherwin-Williams Co.: I think when you look at the business we have in Europe, I think we're not broad based at all. I think that we don't have any architectural business in Europe. So, we're not probably a good barometer of what's happening there. On the industrial side, we're probably heavy in industrial wood, but that's in the Global Finishes Group and that's actually been strong – stable I'd say, I'll use the word stable. So, I think to try to get some type of barometer of Europe, we're not a very good indicator event.
Kevin W. McCarthy - Vertical Research Partners, LLC.: Clear enough. And then second question if I may, possibly for Bob, I think you mentioned your commercial business was up. I was wondering if you could speak to non-res more broadly on your third quarter experience and your term outlook. Thanks.
Robert J. Wells - The Sherwin-Williams Co.: Yes, Kevin. As a reminder, there is a pretty long lag between a non-residential start on average and when that project is painted. So, we are benefiting from fairly strong start activity 18 months ago to two years ago. And as a result, the commercial business is holding up quite well. It's not as strong as the residential segments. John indicated the residential businesses are up in the high single digits. It's not that strong, but it's really solid year-over-year growth. The dark lining around that silver cloud is that starts this year are actually down year-over-year. So, we're seeing some weakness in new projects started that if that persist, was going to impact our commercial business a couple of years out.
Kevin W. McCarthy - Vertical Research Partners, LLC.: Okay.
Robert J. Wells - The Sherwin-Williams Co.: But for the time being, it's good.
Operator: Thank you. Our next question is coming from the line of Mike Harrison with Seaport Global Securities. Please proceed with your question.
Michael Joseph Harrison - Seaport Global Securities LLC: Hi. Good morning.
John G. Morikis - The Sherwin-Williams Co.: Good morning, Mike.
Michael Joseph Harrison - Seaport Global Securities LLC: Was wondering if you could talk a little bit about Latin America. It was nice to see it get back above breakeven, and you've added about 25 stores this year. So can you talk a little bit about the strategy going forward, and what the outlook might be, should we expect it to remain above breakeven or could some of those investments start to weigh on the performance on the bottom line?
John G. Morikis - The Sherwin-Williams Co.: Yes. So, our approach in Latin America is really market specific, not even country specific. We understand that there are locations in the market throughout the Latin American region where the direct store model might be best, and there might be others that are best utilized through home centers or through dealers and our team down there is working very hard to upgrade our position in the marketplace, and by doing what we believe to be the heavy lifting now while the market is maybe choppy, might be an understatement, but while taking those steps now that we'll be better able to participate at a greater rate once the market does improve. We do feel as though that it's hit a trough. It's too early to tell if it's improvement in the market is sustainable there, the choppiness in sales and profit likely to continue over the next few quarters, but we really do believe that the steps that we're taking right now are going to better position us by allowing for a better employee base that we have down there, better product line, more consistent products, and a much more efficient path to the customer than what we've had in the past. So, our expectations of what we're doing down there are clearly to outperform the market as we move forward.
Allen J. Mistysyn - The Sherwin-Williams Co.: And I would add that going forward of course, you'd expect them to be closer to breakeven.
Michael Joseph Harrison - Seaport Global Securities LLC: All right. And you've also talked about some of the SG&A expense control. I was wondering if you could talk at all about your marketing and advertising expenses, and how those have trended during the year. At this point, are we running meaningfully above or below what we might think of as normal advertising expenses?
John G. Morikis - The Sherwin-Williams Co.: No. I don't think we're meaningfully above or below. I think we're right around the same paces we've been in the past. We're trying to be as smart and efficient with what we're doing with media. But I wouldn't say that we've jumped or cut to anything in a meaningful way.
Michael Joseph Harrison - Seaport Global Securities LLC: All right. Thanks very much.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Mike.
Operator: Thank you. Our next question is coming from the line of Scott Rednor with Zelman & Associates. Please proceed with your question.
Scott Rednor - Zelman & Associates: Hey, good morning.
John G. Morikis - The Sherwin-Williams Co.: Hey, Scott.
Scott Rednor - Zelman & Associates: Quick question, I mean, your feedback that you're relaying from the field despite slower sales growth than you expected, is pretty positive on this call. But, I think in your prepared remarks, John, you noted that you're not sure if the housing cycle might be slowing or we might be in the later innings. So, being a good bridge is there's two comments, because it sounds a lot more bullish on the Q&A than what you may have said on the prepared remarks?
John G. Morikis - The Sherwin-Williams Co.: Well, my point was that we certainly saw a slowdown in the third quarter, Scott. And our feeling continues to be that the fundamentals still support the market in a very positive way. And, I know, you've heard Bob talk about those in a number of occasions. But, if you just look at household formations, new home sales, single family start permits, re-sales, the underserved entry into the new residential by builders, the fundamentals continue to be there. And, we expect that the contractor is going to be the benefactor of many of these opportunities and our position with that contractor is something that we're continuing to improve them.
Robert J. Wells - The Sherwin-Williams Co.: And, by the way, Scott, maybe it wasn't worded as well as it could have been, but John's opening remarks basically said, if it's a slowdown in the housing cycle contrary to all – with all the data would suggest. So, he was kind of qualifying it by saying, we're not seeing it in the data; but if it is, we're still going to invest in the thing that drive our growth.
Scott Rednor - Zelman & Associates: Okay. I appreciate this, clarifying that. And just to kind of reiterate, is this I guess more uncertainty to the cadence of how the business is growing, have any impact on to how you are thinking about incremental investment back into the business and/or on the synergy guidance for Valspar?
John G. Morikis - The Sherwin-Williams Co.: I believe that our investments will continue as you've seen. This is a year that's going to have record sales, record profit, record operating margin. We're going to continue to invest in those drivers that we believe will allow us to drive that operating margin further and that's going to be in new stores, new reps, new products and we believe that the contractors positioned as I said, very well in the market and our positions, we're going to be working very hard to improve that. And we've got confidence in that model and we've got confidence in our ability to execute it.
Scott Rednor - Zelman & Associates: Thank you.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Scott.
Operator: Thank you. The next question is coming from the line of Ivan Marcuse with KeyBanc Capital Markets. Please proceed with your question.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Great. Thanks. I just have a couple of quick ones. In terms of your sales growth for the fourth quarter for the year not really changing out that much, is that just more of a function – is that more of a function of the reclassification, so reclassification in the fourth quarter is going to be 2% impact, I guess sales would be flat to down excluding that?
Robert J. Wells - The Sherwin-Williams Co.: No, I think that just low-single digit is on the core, it's just movement within the core – within that range.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Okay. Great. And then, in terms of Valspar, is there any sort of change here, expectations that's going to close in the first quarter or expectation if one will here, it's something about a ruling?
John G. Morikis - The Sherwin-Williams Co.: No, at this time we still believe this is going to be in the first quarter. We're down to just a few countries and we're feeling positive about the momentum that we have.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Okay. And then last, does the currency in Latin America, does that turn into a tailwind starting in the fourth quarter?
Robert J. Wells - The Sherwin-Williams Co.: No. I think it'll still be a headwind, I guess on somewhat to what we saw in the third quarter.
Ivan M. Marcuse - KeyBanc Capital Markets, Inc.: Okay. Great. Thanks.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Ivan.
Operator: Thank you. Our next question is coming from the line of Eric Bosshard with Cleveland Research Company. Please proceed with your question.
Eric Bosshard - Cleveland Research Co. LLC: Two questions for you. First of all, Bob or Sean or Allen, if you could review what we should be thinking about in terms of price, understand that increase becomes effective December 1, which I think is a little different language than you had in the past. Curious, what we should be assuming in terms of the time to implement and the amount of that, that should be expected to be realized?
Robert J. Wells - The Sherwin-Williams Co.: Yeah. I think that we've in the past have said that we've been 75% effective when you take a look at the increase. So, 4.5% to 5%, you're talking, use it 4.5 times, 75%, you're talking just over 3%. I think that we've constantly said that we're working to trying to get that quicker. I think you'll see some effect in December, but it will be muted. And I think that the first quarter, you'll see hopefully somewhere in that 50% effectiveness, and then, from then on I think you'll see it at 75%.
Eric Bosshard - Cleveland Research Co. LLC: Okay. That's helpful. And then, secondly, we'd just love a little perspective, I think the statement was made that the store comp would be 5% x-Protective & Marine, and I'm curious within that or if you want to speak to the expectation of the architectural business, how that compares to the prior couple of quarters and what the expectation should be of that moving forward?
Robert J. Wells - The Sherwin-Williams Co.: Yeah. I think that the architectural and if you look at the quarters there's no doubt the first quarter was the strongest quarter. Architecturally, second was the second strongest and then the third. But I do believe, when you take a look at it, some of these, the third quarter was probably way down because of that DIY component that we talked about. So I think again, I think the John's comments about the strength of the market of why we could continue to invest and feel good about the – what kind of results we can produce in this Paint Stores Group are still driven by those spots on the architectural side.
Eric Bosshard - Cleveland Research Co. LLC: Excluding DIY, are you capable of looking through the numbers or sharing with us excluding DIY, it sounds like the resi-repaint was up high single-digits versus perhaps low double-digits. What's other than DIY, it seems like the other pieces of architectural slowed a bit in 3Q relative to its 2Q growth, is that accurate?
Robert J. Wells - The Sherwin-Williams Co.: Yes.
Eric Bosshard - Cleveland Research Co. LLC: And any thoughts on the driver to that?
Robert J. Wells - The Sherwin-Williams Co.: I will tell you this is, yeah, I think that labor you know – we're seeing things such as labor constrain some of these results that we're having in some of these quarters.
John G. Morikis - The Sherwin-Williams Co.: Yeah, Eric, it's not uncommon at all to hear contractors talk about their ability to do more work, if they had more qualified labor.
Eric Bosshard - Cleveland Research Co. LLC: Okay. That's helpful. Thank you.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Eric.
Operator: Thank you. The next question is coming from the line of Scott Mushkin with Wolfe Research. Please proceed with your question.
Scott A. Mushkin - Wolfe Research LLC: Hey, guys. Thanks and a lot of questions have been asked. I appreciate you let me sneak one in here. So, I was just wondering from your perspective, obviously we have this dichotomy between the pro market, the contractor market and do-it-yourself. As you guys think back over the years the company, I mean you've ever seen this kind of divergence in the two, and in your opinion, what do you think's causing it, I mean it seems like consumer for some reason is a little weaker, I mean we're seeing that across a lot of different sectors and I'm just trying to understand, from your perspective, what you think is kind of going on. Have you ever seen this before, so anything you can shed, any light...
Robert J. Wells - The Sherwin-Williams Co.: Yeah, Scott. This is Bob. We've talked for a long time about this long-term secular trend away from DIY toward the contractor. And we saw that kind of step back in the direction of DIY during the 2008, 2009 cycle. And since that time, we think that there has been a pretty strong migration back toward the pro. What we've observed in past cycles is that when we see a period of rapid home value appreciation, in many cases, it will accelerate the move back to the pro. People are more incline to hire a professional when they're feeling more positive about the equities that they have in their home. So, the last three years, pretty rapid home value appreciation that we've seen may have accelerated this migration away from DIY and toward the pro. That's the best we've got; there is no empirical data as to why that's happening.
Scott A. Mushkin - Wolfe Research LLC: Could I do a follow-up quick, Bob, is that all right?
Robert J. Wells - The Sherwin-Williams Co.: Yeah. You bet.
Scott A. Mushkin - Wolfe Research LLC: Yeah. So, there's obviously been a lot of thoughts regarding millennials, younger households are probably more do-it-yourself versus do-it-for-me. Still want a buzz that millennials are finally kicking it into gear, but what you're saying to me maybe argues against that, I wonder if you have any thoughts on that piece as well? And then, thanks.
Robert J. Wells - The Sherwin-Williams Co.: Well, we certainly agree that millennials will be a stronger driver in the housing market going forward. I mean there's forecast of between 13.5 million and 17 million new first-time home buyers, coming into the market in the next five years, which is really exciting to us, and all due respect for the younger generations, we disagree with the notion that millennials are strong DIY'ers. They have not shown to be at nearly the levels that their parents were. Baby boomers were far more DIY involved than their offspring, and you know, it certainly has a lot to do with schedules nowadays being very tight and lack of free time. But, we don't necessarily see the millennials coming into the home buying market as driving DIY the way the baby boomers did a generation ago.
Scott A. Mushkin - Wolfe Research LLC: That's perfect. It of course argues to your business model too, so that's good news for the long-term. Anyway, thanks, guys. Really appreciate it.
Robert J. Wells - The Sherwin-Williams Co.: Thank you, Scott.
Operator: Thank you. The next question is coming from the line of Nils Wallin with CLSA. Please proceed with your question.
Nils-Bertil Wallin - CLSA Americas LLC: Yes. Good afternoon. Thanks for taking my question. You noted that keeping strong control on your SG&A cost just going to help your operating income line going forward, and of course that was represented in most of the segments. But you also did note some of the headwind in the Paint Stores Group. So, I'm curious, where will the incremental discipline come on the SG&A; is it going to be in the Paint Stores Group? And if so, how that affects your investment there? And if it's not in the Paint Stores Group, where would it be, because it seems you're pretty disciplined across the board?
John G. Morikis - The Sherwin-Williams Co.: Yeah. So, it's going to be across the board. And I think as you look at our opportunities going forward, the ability to leverage SG&A in every organization exist, I mentioned earlier about the Global Finishes Group taking a look at a number of the areas in the back office to become more efficient. We have those opportunities throughout the organization. What we're committed to though are those areas that are customer-facing and continuing to invest in this model. We just talked with the previous questioner about the long-term model and why it fits and why we believe in it. So, you're going to continue to see us invest in new stores, territories, new products, the things that allow us to differentiate ourselves from our competition and you should expect us to continue to be animals on expenses. We had a discussion last week about our budgeting process and I mentioned Al coming on board and same discipline that we've had with Sean in the past. We're going into our operating plan process, we're starting at ground zero and we're ripping every expense out that we can that doesn't affect sales. And so, we want to be that disciplined about what it is we're doing. We don't want to point to past success and justify future expense. We want to be invested in those things that are going to drive our business and we're committed to doing that in the models that will drive the operating margin that we've talked about.
Nils-Bertil Wallin - CLSA Americas LLC: Fair enough. And just as a follow-up. You note the weakness in oil and gas on the Protective & Marine, but there are a certain number of chemical projects coming out in the Gulf Coast. So, is it just that the size of oil and gas is so heighted, offset whatever is going on in chemical in that part of your business or do you just not have the type of mix that you want or exposure to the chemical industry for your Protective business?
John G. Morikis - The Sherwin-Williams Co.: Well, it's a little bit of both, we've had success in oil and gas in areas that are not investing right now and we're still growing market share in some of those areas. Even with the decline, we're still fighting and growing we believe share in a very challenging market, but to your point and it's the point that I try to make earlier, there are still areas for us – there are opportunities in the space, you mentioned the chemical areas where there are our assets coming online. We're fighting for everyone of those projects. We know that the infrastructure is an area that eventually is going to have to be an area of focus for our country, and countries around the world, and we're furthering our penetration in those areas. So what I don't want to give is the impression that we're just sitting here waiting for the oil and gas market to fix itself, we're up there fighting in existing markets, in adjacent markets, and in new markets, and we believe that there is considerable amount of opportunity for us there, and we're determined to capture.
Nils-Bertil Wallin - CLSA Americas LLC: Great. Thanks for your help.
Robert J. Wells - The Sherwin-Williams Co.: Thank you, Nils.
Operator: Thank you. Our next question is coming from the line of Christopher Perrella with Bloomberg. Please proceed with your question.
Chris Silvio Perrella - Bloomberg LP (Research): Good afternoon, guys. Thank you for taking the call. The antitrust regulatory environment you have been doing deals for a while now, have you noticed the change this year as you've gone through the Valspar deal?
John G. Morikis - The Sherwin-Williams Co.: No. I think they are doing their job, they are asking questions that are appropriate, and we're trying to be as responsive as we can. I think going into this, we knew the deal and the facts and feel confident that the facts will carry the day, but we've got a government agency that is empowered to look at these things, and challenge, and they're doing just that, and we're trying to be as responsive as we can.
Chris Silvio Perrella - Bloomberg LP (Research): All right. And then a quick question, inventory was up, are you carrying more volume of inventory due to the slowdown here, and on the back of that, you typically won promotions in through October at your Paint Stores?
Robert J. Wells - The Sherwin-Williams Co.: I'll address the inventory and our working capital was up slightly in the – through September. The way we look at it as a reminder, we target a 10% of sales, our working capital last year came in at 8.6%, we expect this year to come in around 10%. So, I don't believe we're carrying more inventory than we should be.
John G. Morikis - The Sherwin-Williams Co.: And we do occasionally run promotion in October.
Chris Silvio Perrella - Bloomberg LP (Research): All right. Thank you, guys.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Chris.
Operator: Thank you. Our next question is coming from the line of David Wang with Morningstar. Please proceed with your question.
David Wang - Morningstar, Inc. (Research): Hi. Thank you for taking my question. I was pretty late in the call. So, one on same-store sales in resi-repaint for professional. So, just in the home sales, it looks like they were basically flat or down year-on-year compared to the third quarter of 2015, but you guys saw a high-single digits in the professional segment there. Do you think that – I guess, would you attribute this to as a stronger business model? I know that we obviously saw weakness in DIY, but I'm trying to get a sense of why the professional segment was so strong?
John G. Morikis - The Sherwin-Williams Co.: Well, we've had a team that's been focused on that segment for many years, and it goes back to the comment that I made earlier about our commitment to providing the products, then services, locations, the people that will help us differentiate us from our competition. And we're blessed with good competition out there. So, we're not satisfied, we're not complacent. We're not sitting here feeling as though we've got it all figured out, we're trying to get better every day. And with our direct model, which is unique and the ability to really partner with our customers in understanding what their needs are and sometimes satisfying needs that they don't even know exist, has allowed us we believe to grow a little faster than the market. And we're committed to doing the things that can help differentiate us from our competition by allowing our customers to be more successful and what they're trying to do.
Robert J. Wells - The Sherwin-Williams Co.: And, David, while you're right that existing home turnover does drive residential retain activity, remodeling activity in total year-to-date is up pretty substantially, it's up more than – it's up almost 6% in spending year-on-year. So, in the absence of a lot of growth in existing home turnover, we've seen growth in remodeling activity.
John G. Morikis - The Sherwin-Williams Co.: And one last thing I would add is the point that Bob made earlier, which is the shift to more and more contractor base, I think – we have to acknowledge that there is a shift going on to the contractor and we happen to be positioned very well for that contractor, but I also believe that's helping us as well.
David Wang - Morningstar, Inc. (Research): Fine, great. Thank you.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, David.
Operator: Thank you. Our next question is coming from the line of Chuck Cerankosky with Northcoast Research. Please proceed with your question.
Charles Cerankosky - Northcoast Research Partners LLC: Good afternoon, everyone and congratulations to both, Sean and Al.
Sean P. Hennessy - The Sherwin-Williams Co.: Hey.
Allen J. Mistysyn - The Sherwin-Williams Co.: Thank you. Thank you, Chuck.
Charles Cerankosky - Northcoast Research Partners LLC: We've talked of the contractors, you've mentioned this labor shortage, John, and I think it's even of impact as how aggressive they want to be on bidding at this point, does that board well for projects going into next year once the paint season gets underway, we're coming into some tougher weather now seasonally. So, what are your thoughts on that?
John G. Morikis - The Sherwin-Williams Co.: I think it does, Chuck. I think it's – and that's the point that I made, I know I keep beating the same drum, but it's what gives us confidence about the model in 2017 and our ability to continue to drive operating margins going forward. You're exactly right.
Charles Cerankosky - Northcoast Research Partners LLC: Okay. And looking at the Consumer Group, and Sean or Al you might want to address this one, the margins were up on lower sales. Does some of that reflect what went on last year with the load into Lowe's and introductory promotional spending?
Sean P. Hennessy - The Sherwin-Williams Co.: No, I think the spending has been pretty consistent in it. It's like we talked about in the second quarter, it was may be different programs, but with the – around the other hedges of SG&A that they did a nice job of controlling their costs and we talked about the mix in that business that helped, so I think that's what's driving the margin.
Charles Cerankosky - Northcoast Research Partners LLC: All right. Thank you. Oh! You know, and obviously at the end of the call, I got cut off somehow for a bit. And I think, I joined just as you were explaining that reclassification, if now is a good time to just quickly explain that it would be great, otherwise I'll catch you offline?
Sean P. Hennessy - The Sherwin-Williams Co.: Chuck, we use third-party contractors and they do a variety of things for our customers, these previously immaterial amounts (79:37) SG&A, we determine that the billings to the customers should've been grossed up in sales with the payments for the contractors included in cost of goods sold in it, for net immaterial impact on gross profit. It does reduce our gross margin, and it does decrease our operating margin. And what we've talked about is, we did it prospectively in the third quarter, so we only booked it for the third quarter, we'll do that in the fourth quarter that I'll have a similar small impact, and then in the first quarter and second quarters of 2017. So 2017 full-year won't have any impact.
Charles Cerankosky - Northcoast Research Partners LLC: Thank you.
Sean P. Hennessy - The Sherwin-Williams Co.: You're welcome.
Robert J. Wells - The Sherwin-Williams Co.: Thanks, Chuck.
Operator: Thank you. It appears, we have no further questions at this time. So, I'd like to turn the floor back over to Mr. Wells for any additional concluding comments.
Robert J. Wells - The Sherwin-Williams Co.: Thank you, Jesse. As always, I'll be available over the next few days to handle any additional questions that arise as you digest this morning's call. As call volume is already very heavy, I appreciate your patience, I will make every effort to get back to you on a timely basis. I'd like to thank you again for joining us today, and thanks for your continued interest in Sherwin-Williams.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. Again, we thank you for your participation. And you may disconnect your lines at this time.